Operator: Ladies and gentlemen, thank you for standing by, and welcome to Avery Dennison's Earnings Conference Call for the Third Quarter Ended September 29, 2012. [Operator Instructions] This call is being recorded and will be available for replay from 1:00 p.m. Pacific Time today through midnight Pacific Time, October 26. To access the replay, please dial 1 (800) 633-8284 or for international callers, please dial 1 (402) 977-9140. The conference ID number is 21543232. I would now like to turn the conference over to Eric Leeds, Avery Dennison's Head of Investor Relations. You may begin, sir.
Eric Leeds: Thank you. Welcome, everyone. Today we'll discuss our preliminary unaudited third quarter 2012 results. Please note that unless otherwise indicated, today's discussion will be focused on our continuing operations. The company's Office and Consumer Products business is classified on our income statement as a discontinued operation. The non-GAAP financial measures that we use are defined, qualified and reconciled with GAAP in Schedules A-2 to A-5 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the Safe Harbor statement included in today's earnings release. On the call today are Dean Scarborough, Chairman, President and CEO; and Mitch Butier, Senior Vice President and CFO. I'll now turn the call over to Dean.
Dean A. Scarborough: Thanks, Eric. I'm pleased to say we had a solid third quarter. Sales were up nearly 6% on an organic basis, the strongest organic growth we've had since the first quarter of 2011. Our strong top line results were driven by continued momentum in Pressure-sensitive Materials and a rebound in the core business of Retail Branding and Information Solutions, including the accelerating adoption of RFID by retailers. The impact of higher sales and significant productivity improvements drove higher adjusted operating profit. As a result, we raised our guidance for full year EPS. We are on track to hit our full year guidance for free cash flow. As you know, one priority is to return more cash to shareholders. And through the first 9 months of the year, we met that commitment with a dividend increase and by repurchasing 7.7 million shares. In total, we've returned $312 million of cash to shareholders in the first 3 quarters. Now turning to the businesses. Pressure-sensitive Materials had another solid quarter on both the top and bottom line. Label and Packaging Materials grew sales in every region with double-digit growth in emerging markets. We had a very successful Labelexpo in Chicago this year, launching more than 14 new products and winning the Labelexpo Green Award for our new Bottle-to-Bottle Film portfolio, which uses a special adhesive that enables more effective recycling of PET bottles. The Graphics and Reflective businesses also increased sales, and we have begun to see the savings from that integration with Labeling and Packaging Materials. RBIS delivered modest growth in sales in the early part of the third quarter, but then finished the quarter with a very strong September. Sales growth was strongest among U.S. retailers and brand owners, reflecting rising confidence about next year's spring season, coupled with lower cotton prices. Not surprisingly, end market demand in Europe remains weak, but we still delivered mid-single-digit sales growth among European retailers through share gains. In fact, we believe we are taking share in both the U.S. and Europe through improved service and new products, including our exterior embellishment. In addition, RFID sales to apparel retailers were up nearly 70% over last year. Item-level RFID is clearly accelerating. It took about 6 years to ship our first billion inlays, but we shipped the second billion in less than 18 months. Demand for RFID inlays in the RBIS business translated into a big improvement in profitability in the RFID division, which is reported as part of other specialty converting. I'm very pleased with our progress in RFID. At Office and Consumer Products, third quarter sales were roughly flat compared with prior year, and we saw improvement in underlying operating profit primarily through productivity gains. Obviously, we're disappointed that the proposed sale of Office and Consumer Products to 3M was terminated. We have restarted the sale process and have several interested buyers, both strategic and financial. That said, even if OCP isn't sold, we expect this business to continue to deliver solid free cash flow. Our restructuring initiative is on track to deliver more than $100 million of annualized savings by mid-2013. We are creating a leaner cost structure that is enhancing our competitive position and strengthening our ability to increase returns. Turning to the outlook. Our updated full year guidance reflects some caution about the top line. We had a very strong September, but that followed moderate growth in July and August. Given the short lead times we operate on, we'll need more time to call this a sustainable trend. Now the first 3 weeks of October look right on track with our -- the guidance that we provided in today's press release. Thanks. And now I'll hand it over to Mitch.
Mitchell R. Butier: Thanks, Dean. As noted, we had a solid quarter with adjusted earnings per share of $0.53, reflecting continued momentum in Pressure-sensitive Materials and solid progress in RBIS. Sales came in better than expected, and we delivered bottom line results at the high end of our expectations for the quarter. Net sales grew approximately 6% on an organic basis as RBIS experienced a rebound in demand, especially in September, and Pressure-sensitive Materials continued to recover from the slowdown in the middle of last year. Along with solid organic sales growth, adjusted operating margin increased 110 basis points as the benefit of higher volume and productivity initiatives more than offset higher employee-related expenses and the impact of unfavorable product mix. You'll recall that the higher employee-related expenses relate in part to higher bonus expense versus last year. We had unusually low bonus expense last year due to poor business performance. The net impact of raw material input cost and pricing was neutral in the quarter. Our year-to-date free cash flow in 2012 is significantly improved from last year due to lower bonus payments in the first quarter of 2012 versus first quarter 2011 and the continued strong management of working capital. We continue to be pleased with the capital discipline we've demonstrated over the past few years. Our net debt is lower than it was at this time last year. Consistent with our strategy of maintaining a strong balance sheet, net debt-to-EBITDA from continuing operations was 2x at quarter end and 1.8x including discontinued operations. With leverage in our targeted range and with our consistently strong free cash flow, we've continued to deliver on our commitment to return cash to shareholders. In the third quarter, we repurchased an additional 2.9 million shares at a cost of $86 million. We talked last quarter about our cost-reduction program that will structurally reduce our overhead cost and save more than $100 million annually. We're on track and we continue to expect to achieve these savings by mid-next year. Turning to the segments. Pressure-sensitive Materials sales were up 7% on an organic basis, an improvement in the year-on-year growth rate versus recent quarters, driven by continued momentum and the fact that we have now lapped the slowdown that began in the second quarter of last year. Label and Packaging Materials grew organically in all regions with mid-single-digit growth in North America, low single-digit growth in Western Europe and low teens growth in emerging markets. While sales growth benefited from easier comps to the prior year, volume continued to be good in absolute terms as well. Sales in Graphics and Reflective Solutions increased mid-single digits, driven primarily by sales in the Reflectives product line. PSM's adjusted operating margin improved 40 basis points in the quarter as the benefit of higher volume and productivity initiatives more than offset higher employee-related expenses and the impact of changes in product mix. Retail Branding and Information Solutions sales grew 7% on an organic basis, reflecting increased demand across most of our product lines, including another strong quarter in RFID. As Dean mentioned, the strong growth in the quarter appeared to be driven by retailer confidence in the U.S. and continued share gains in both the U.S. and Europe. As I said earlier, September was a particularly strong month and actually delivered the vast majority of the quarter's top line growth for this business. The fourth quarter will represent a better indicator of the strength of underlying demand. RBIS' adjusted operating margin improved 90 basis points as the benefit of productivity initiatives and higher volume more than offset higher employee-related expenses and the impact of changes in product mix due to strong RFID sales. Sales in our other specialty converting businesses declined 1% on an organic basis, due primarily to weak performance and performance pace. Despite the lower sales, adjusted operating margin improved 500 basis points driven by the increased RFID profitability. Note that the negative mix impact of RFID in the RBS -- RBIS segment is offset by the profitability generated by RFID in other specialty converting. Moving onto the outlook for 2012. I'll start by commenting on the key factors that we think will contribute to our guidance for the year. Our estimate for organic sales growth is now approximately 3%. This narrowing of the full year estimate is due to the fact that we only have one quarter to go. The macro environment remains uncertain, and we continue to have limited forward visibility. Based on recent exchange rates, the impact from currency on EBIT is now estimated to have an approximately $17 million negative impact versus 2011. Our estimates for the tax rate and capital expenditures remain unchanged for 2012 from what we shared with you last quarter. And as for pension, we expect that pension contributions in 2012 will be approximately $75 million now. Free cash flow from Office and Consumer Products in 2012 is expected to approximate $55 million before deal-related costs of about $10 million. Average fully diluted shares outstanding for 2012 is expected to be between 103 million and 104 million. The delay in the anticipated sale of OCP to next year has had a minimal impact on our original estimate of average shares outstanding in 2012. The share count at the end of the quarter was approximately 101 million on a fully diluted basis. So based on estimated sales, as well as other assumptions including the listed factors, we expect adjusted 2012 earnings per share from continuing operations of $2 to $2.05 and free cash flow from continuing operations of $280 million to $310 million. In summary, the third quarter was a solid one with better-than-expected top and bottom line performance. Our cost-reduction program to save more than $100 million is on track. And our continued cost and capital discipline enables us to maintain our dual commitment to financial strength and returning more cash to shareholders. In fact, we have already delivered $312 million to shareholders in the first 3 quarters of the year while maintaining leverage in our targeted range. Now we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question from the line of George Staphos of Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: First question I had, in RBIS, to the extent that your customers could comment and relay what they were seeing in the market, what was giving them more confidence in the spring selling season for 2013? And in general, what was behind the September pickup in demand?
Dean A. Scarborough: Well, George, first of all, September usually is the start of the ordering season for the spring, so that's normal. This September...
George L. Staphos - BofA Merrill Lynch, Research Division: No, I understand it, but it sounds like a year-on-year improvement.
Dean A. Scarborough: It was definitely a year-on-year improvement. So a couple of factors. We talked before about how high cotton prices impacted unit demand. Right now, apparel unit costs are about 10% less than they were in the first half of the year, mainly due to lower cotton and other raw material costs. Retailers buy -- when they buy in an open-to-buy, they buy on dollars, they don't buy on units necessarily. So what we're saying there is the impact of lower unit costs for apparel, so they're buying more. So it's the reverse effect of what we saw in 2011. In the U.S., there is more retailer confidence as they look at consumer confidence rising. So I think there's just a little bit more optimism, although I do believe that retailers are still going to keep their inventories under control because we have not seen a significant change in the outlook for -- in terms of the inventory-to-sales ratio. In Europe, I'd say there's more pessimism. But we have been able, with our new products and focusing on our innovation center, executed pretty good market share gains in Europe, so I'm pleased about that.
George L. Staphos - BofA Merrill Lynch, Research Division: Dean, Mitch, I'll ask a few questions and turn it over to follow on. Is there a way to quantify how important the RFID capability is in terms of RBIS' improvement and outlook? And then with Office Products, I realize you're obviously in discussions and hopeful of ultimately selling the business. Is there a time out in the future whereby if you don't find an offer that's acceptable, that you may consider bringing the business back as a continuing ops segment and when might that be?
Dean A. Scarborough: So RFID is increasingly becoming a part of the story. I'd say close to 1/3 of the growth that we had in the quarter was due to RFID adoption. I do want to make the point though that the core business of RBIS came back. And so it's not just an RFID story. RFID is definitely an add-on, and we do see an acceleration of adoption by major retailers. So we're feeling, I'd say, bullish about the impact on RFID and we're clearly well-positioned as the go-to player as companies implement item-level marking using RFID. So I'm happy about that. As far as Office and Consumer Products goes, we are doing 2 things in parallel. We clearly have the sale process underway. We have a number of interested buyers, both strategic and financial. And I'm hopeful we'll get more clarity about that. I'm hopeful that we'll have more clarity during the first quarter. These processes have a life of their own, so it's sometimes difficult to predict. At the same time, we are working very diligently to understand if we don't get a good offer for the business, how would we manage the business to optimize free cash flow over the next 4 to 5 years. We have not invested a lot of restructuring money in this business over the last couple of years because we're -- our #1 priority is to sell it. But in my mind, that restructuring plan and the cash that we can get provides a floor versus what we could potentially get in the sale process.
Operator: Our next question from the line of Ghansham Panjabi, Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Just to clarify on the RBIS strength in September. First of all, was that equally true in both Europe and in the U.S.? And then, Dean, when would we know whether this was pure pull forward of demand from 4Q, which I think is one of your stronger quarters versus underlying demand improvement?
Dean A. Scarborough: We'll probably know the answer to the pull forward in December because that's when sales start to taper off. I'd say right now, again, I'll just reiterate the first 3 weeks of October, pretty much across-the-board, are reflective of the guidance that we put into play. It's just -- we just won't know. We just don't have that much forward visibility.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then in PSM, a couple of consecutive quarters of nice positive growth and it seems pretty consistent across the major geographies. Can you just sort of give us an update on what you're seeing in the world? I mean, it seems to be very counterintuitive to what we're hearing from a lot of other companies with a lot more industrial exposure, so I'm just wondering why there's a deviation here?
Dean A. Scarborough: Well, recall that we had somewhat easier comps year-over-year because we started to see a slowdown and we did have some share loss beginning with the second quarter of 2011. I think the teams have done a great job, though, of recapturing some of that share with some of our new innovative products as well as a focus on some certain product segments. We regained -- I feel, we don't have the numbers yet, but I feel pretty confident we've regained some of that market share. North American business, though, seems to me to be trending a little bit with the market in terms of we definitely hear from label converters in the U.S. business conditions are more positive than we hear from Europe. Although I have to say, most European customers, based on what I hear, their outlook is a lot more positive than when you read the Financial Times, which is focused probably mainly on the financial sector than it is kind of the basic operations and consumer sector.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Got it. And just one final one on RFID. Where are you seeing the most momentum from a geographic basis? Is it Europe, North America, equal?
Dean A. Scarborough: It's North America right now.
Operator: Our next question from the line of Scott Gaffner with Barclays Capital.
Scott Gaffner - Barclays Capital, Research Division: Just following up on that RFID question. Are you seeing most of the adoption within, say, the vertical retail channel or are you seeing it throughout the various retail segments that you cover? Can you just sort of give us some color there?
Dean A. Scarborough: Yes, the -- mainly in what we call premier and mid-market, which includes department stores, is probably the major driver right now. And then I would say following that would be vertical retail.
Scott Gaffner - Barclays Capital, Research Division: And is it really just loss prevention that you think is driving this, or is it more an idea that your customers want to control their inventory levels? What do you think is the driver?
Dean A. Scarborough: It's 90% all about inventory and making sure that you have exactly what you're supposed to have on the floor to enhance sales. And what we then find is that once retailers get those systems put into place, you can enable loss prevention at a very low incremental cost to that. So that comes as a secondary benefit.
Scott Gaffner - Barclays Capital, Research Division: And are you saying -- I think a lot of these retailers are actually using their stores more for their -- as warehouses for their e-commerce businesses. Is that -- have you heard that as a driver as well?
Dean A. Scarborough: I don't think that's the main driver. We do know that retailers, when they sell online and at the store, those stores become places where customers return things as well as pick them up. And so it actually provides, in a way, more opportunities for us because now re-marking items at a store is actually more important than it's been before. So we do have a number of solutions that we offer retailers that allow them to price mark and re-mark garments right in the store and it's very much synchronized with their overall systems.
Operator: Our next question from the line of John McNulty with Credit Suisse.
Abhiram Rajendran - Crédit Suisse AG, Research Division: This is Abhi Rajendran sitting in for John. A couple of quick questions. On the restructuring, of the total savings in the restructuring program, could you maybe provide us with the run rate levels that you had at the end of the third quarter and maybe what level you think you'll exit the year with?
Mitchell R. Butier: Yes, so we are -- what we provided last time is we said we expected about $15 million of the $100-plus million savings to hit this year. We're expecting a little bit more than that now to hit this year, closer to $20 million. And a lot of that's back-half weighted, so the run rate's obviously higher than that with the remainder of it hitting in 2013 and will be in the run rate by mid-next year.
Dean A. Scarborough: We do have some transition costs, though, that will also impact us in the back half of the year.
Mitchell R. Butier: Yes. So that $20 mil -- roughly $20 million is net of some transition costs. So if you look sequentially, Q4 versus Q3, there's actually the incremental savings you'd expect in Q4 versus Q3 is offset by some transition costs we have for one of the specific actions.
Abhiram Rajendran - Crédit Suisse AG, Research Division: Okay, got it. And then just a quick follow-up. Earlier this year, you've kind of laid out a target of $1 billion to $1.5 billion to be returned to shareholders over the next several years. Could you maybe provide an update to this range kind of given the delay in separating OCP as well as maybe how this would be split up between buybacks, dividends?
Mitchell R. Butier: Yes, we haven't provided an update to the range, but the way to think about this is if the sale does not go through, we've provided some data points for 2011, what the EBITDA was, you can see free cash flow for this year. So we will still have free cash flow for that 4-year period. But in addition to that, we would not need to deleverage as much as what was in that model because we still have the EBITDA from Office Products. So if you go through the math, you'd see that we're definitely looking at well over $1 billion of cash flow to distribute to shareholders over that time frame.
Operator: Our next question from the line of John Roberts of Buckingham Research Group.
John E. Roberts - The Buckingham Research Group Incorporated: Your tax rate used to be a lot lower before you sort of went through the dip and the regional shift in business. I don't expect it will change in the fourth quarter here. But as you get into 2013, has your mix shifted back enough for the back half of the year here that you might have a lower tax rate next year?
Dean A. Scarborough: Yes, so our tax rate isn't where it is right now and we're not providing guidance for next year. We did say as earnings go up, it will have a little bit of downward pressure on our income tax rate. The -- one of the biggest factors for us, though, and uncertainty for tax rates in the future is really around the repatriation of cash into the U.S. and what the laws will be prevailing over the coming years. So that'll have the biggest single impact. The cash tax rate, so how much cash we actually pay, had been in the upper 20s and have continued to trend down and we'd expect that still to be in that upper 20% range next year as well.
Operator: Our next question is from the line of Silke Kueck with JPMorgan.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: It's Silke Kueck for Jeff Zekauskas. Have prices in the Pressure-sensitive Materials segment begun to reset given that raw material costs are also moving lower?
Dean A. Scarborough: I'd say the trend is fairly stable and we did lower -- I mean, on a year-over-year basis, we had used some surcharges in 2011 as a way to raise prices and some of those surcharges have rolled back definitely. But when you look on a net-net basis between pricing and material costs, essentially it's neutral.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: So neutral means you don't think you had any margin expansion from raw material costs moving lower?
Dean A. Scarborough: No.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Okay. Do you expect to see any going forward if your prices hold stable?
Dean A. Scarborough: Depends on what raw material prices do. I'm expecting more of, I think, a stable raw material environment going forward. The big factor, actually, that we had in the quarter was more mix. We're growing faster in some of the paper and variable information product categories, which has a little bit of a downward impact on the margin. Still profitable business, just not as profitable as some of our films business.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Okay. And I also have an RFID-related question. My recollection is that your goal was to maybe have RFID item-level sales maybe at a run rate of $100 million, and I was wondering like how far you've gotten so far?
Dean A. Scarborough: We'll be pretty close on a run rate basis by the end of the year.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Okay. And like the way it works is if that the label itself is manufactured in other specialty converting and then it's sort of like transferred in some form, I guess, on a cost basis to the RBIS business. And so if I look at other specialty converting, is that business now breakeven or is it profitable? Or how do I think. . .
Dean A. Scarborough: It's profitable. Yes, just a -- so what we do is we buy chips and we make antennas and we attach the chips to the antennas and put it on a plastic, basically, a roll plastic. That plastic inlay, once it is delivered to RBIS and inserted into tag or care label, whatever the form factor is for the retailer, the RFID business has been profitable for 3 quarters in a row and I expect that to maintain on a go-forward basis.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: And then lastly, I was wondering what -- how much of the pension contributions that are required for this year have already been made?
Mitchell R. Butier: A majority of them have already been made for the year. Not all of them.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Okay. So you're like, I don't know, like you've made like a $50 million contribution already, something like that?
Mitchell R. Butier: We made something north of that. So most of them have been paid, but not all of them.
Operator: Our next question from the line of Chris Kapsch with Topeka Capital Markets.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: I had a follow-up on the RBIS segment. I'm just wondering if you could qualify or even quantify how your margins for that item-level RFID business compares to sort of your -- the core products within the segment? And then, just curious if looking at that business and your goal to sort of double operating margin by 2015, wondering how important the growth in RFID plays into that sort of goal or projection?
Dean A. Scarborough: Well, if you look at the RBIS segment alone, the actual margin percent for RFID is lower than the average, mainly because we're selling -- instead of instead of selling at a $0.01 to $0.02 tag, we're selling at a $0.09 to $0.10 tag. So the margins per unit are higher, but the margins on a percent basis are lower. Now that doesn't include the profit we get from making the inlays at the same time. So overall, I think, from a company perspective, it's good for us.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Right. And it sounds maybe like your RBIS segment could beat up its supplier a little bit for a little bit better price, right?
Dean A. Scarborough: Well, we may -- they manage it today, so they'd be beating themselves up.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Right, okay. And then I just had a follow-up also on the commentary around market share in that segment. Obviously, there's -- one of your competitors has been sort of struggling and internally focused on rationalizing that business. So I'm just wondering if the nature of the share gains that you've seen is -- is it something that -- is it where you're doing something that customers are coming to you because you have a better proposition or is it really just a case here where one of your competitors is ceding share because they're in a rationalization mode?
Dean A. Scarborough: Well, we've been gaining market share over the last, I would say, 8 to 10 quarters and I believe it's because we fundamentally have been improving our value proposition. We've improved our service. We have more innovative new products out there like the external embellishments. We've invested in innovation and innovation center for customers to visit. So I think we've been doing a good job there. Clearly, there have been some customers that have come to us and said, we need some help. And so that's -- I would say it's a small part of our share gains during the quarter. It's certainly not the majority.
Operator: Our next question is a follow-up question from the line of Scott Gaffner with Barclays Capital.
Scott Gaffner - Barclays Capital, Research Division: Just a follow-up on -- 2 follow-ups on OCP. One, you mentioned that you thought the process could play out into 1Q '13. I just wonder if maybe some of these potential bidders, whether strategic or financial, were in the process before such that the process could actually take less time this time around?
Dean A. Scarborough: Well, that's exactly the case. And so we have a number of potential buyers that were in the first process. So I think for them it will be relatively rapid. And again, I'm always cautious. These processes always take a little bit longer than the bankers tell you that they take. So the last time, it took almost a year. So just a little over a quarter for me is certainly a shortened time frame.
Scott Gaffner - Barclays Capital, Research Division: Okay. And then just following up on George's question from earlier about bringing this business back into continuing ops. Is there anything from a regulatory standpoint where you have to bring this back into continuing ops at a certain point in time if the sale does not occur?
Mitchell R. Butier: Well, technically, after a 12-month period, but we've -- because we've restarted a new process, the clock starts again.
Operator: Our next question is also a follow-up from George Staphos, Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: Dean, quick question. Just you mentioned surcharges rolling off that had been put into place in '11 over the course of this year. Would that suggest that there was some margin captured this year that might not reoccur in 2013 as we're thinking about the forecast, or is that really a nominal factor, if you will, as we look out to '13?
Dean A. Scarborough: Yes. There's so many factors that come in to impact the margin. I mean, so there's volume, there's mix, et cetera, et cetera. I don't think there'll be anything material in there, George.
Mitchell R. Butier: One of the things Dean mentioned earlier, George, is when we're talking year-over-year, recall we did lose some share, particularly in Europe last year. So part of that recovery is just recovering what was lost.
George L. Staphos - BofA Merrill Lynch, Research Division: No, I understand. But that would be separate from any incremental price that you'd had this year that you won't have next year. But again, hopefully, you'll offset that with the operating leverage from the share gain. Could you also discuss what the margins are for RFID within specialty converting? Are they above or below average relative to segment total?
Mitchell R. Butier: The segment -- our margins for RFID in other specialty converting, is that your question?
George L. Staphos - BofA Merrill Lynch, Research Division: Correct.
Mitchell R. Butier: Yes, so the margins are actually relatively high because you've got profitability without a whole lot of sales because the sales are actually eliminated within other specialty converting for what's sold to RBIS. So yes, they are higher than the average.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. And could you remind us what – and that suggests that there's been a fair amount of drop-offs in that segment in other businesses given the economic choppiness over the last 2 to 3 years, could you remind us what's left in that business that's not RFID that was around, say, 3, 4 years ago as well?
Dean A. Scarborough: So we have our Performance Tapes business, our Design and Engineered Solutions business, so it's basically an industrial converting business and includes some things like stamps and batteries. And I don't think it's been -- there's not been a material change in those -- in the performance of those businesses. I mean, it's such a small segment. Or it's not even technically a segment, but it's so small that a little bit of change in profitability makes the margin swing by quite a bit. So I'll give you an example. We do postage stamps for the U.S. Postal Service. They ran out of money in the third quarter and so they didn't order anything. Now they're starting to order again. So that had given -- even in a small segment like that, it had an impact.
George L. Staphos - BofA Merrill Lynch, Research Division: Understood. I guess the last question and I'll turn it over. Have you seen any impact -- any -- impact's not the right term. Have you seen any increases in capacity in Pressure-sensitive Material in a meaningful way in any of your geographies? One of your competitors has announced here and there some smaller things, but I'm not sure if that's really a meaningful impact to capacity, but wanted to get your thoughts.
Dean A. Scarborough: We haven't seen any material adds in capacity, really, in any region, there's -- I mean, of the investments that I'm aware of. There's been some limited addition to capacity in China. You mentioned one of our competitors added some specialty capacity, but that tends to be for a small segment of the market. It's just not material.
George L. Staphos - BofA Merrill Lynch, Research Division: That was wine correct, Dean? The wine label? That was for wine labels…
Dean A. Scarborough: Well, that was one of the -- likely one of the target segments, sure.
Operator: Our next question is also a follow-up from Ghansham Panjabi, Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Just a quick follow-up. On the PSM business, on a geographic basis, can you -- was there any major deviation in trend line during the quarter in terms of growth year-over-year? And also, can you just comment on what's on October as well?
Dean A. Scarborough: I think North America grew in the mid- to high single digits. Europe was in the low single digits. Latin America was very strong, double-digit growth, as well as Asia Pacific. And I haven't really seen in 3 weeks, I wouldn't call any other trends. I mean, the first week of October is Golden Week in China. So it's slower right now, but I expect it to pick back up as the quarter progresses.
Mitchell R. Butier: As far as the trend within the quarter, the growth was pretty consistent throughout the quarter. It builds up a little bit later in the quarter, but on a modest level. RBIS was the standout where it had an exceptional, most of its growth all in September.
Operator: Our next question from the line of Todd Wenning from Morningstar.
Todd Wenning - Morningstar Inc., Research Division: Could you give us your general take on what you're seeing in China over the past few months?
Dean A. Scarborough: It's been -- China has been choppier than I recall. But still, it's been growing the last couple of quarters at a double-digit rate. So I feel like at least -- the consumer sector of China is what drives our Pressure-sensitive Materials business. I think the export and the investment sectors of China had the biggest part of the downturn whereas consumer side, it seems to be doing okay, even though it's relatively, the developed market's a smaller percentage of the economy.
Todd Wenning - Morningstar Inc., Research Division: Excellent. And based on the prices, you bought back stock in the third quarter. It seems that most of the transactions were made early in the quarter before some of the concerns about the deal surfaced. So has the delayed OCP sale affected your approach to buyback still?
Mitchell R. Butier: Well, the timing of when you receive that amount of proceeds, obviously impacts how much share you're going to buy back and the timing of that. But we don't comment on the pace or timing of when we do share repurchases. You can see it had a modest impact on the amount of shares expected to be outstanding for the full year. We were at 103 million before, we're now saying it's going to be between 103 million and 104 million. So it did have some impact, but we're not going to comment on the specific timing.
Operator: Our next question from the line of Silke Kueck with JPMorgan.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: I have a short follow-up. So the reported earnings including discontinued operations was $0.57 in the quarter. Was that excluding the -- is that like an adjusted number excluding the nonrecurring items?
Mitchell R. Butier: So the $0.57 is GAAP including discontinued operations.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: It's GAAP. How much would it be non-GAAP including discontinued operations?
Mitchell R. Butier: So in this quarter, the $0.20 GAAP that you see for discontinued ops is the same for pro forma. So you can just add the $0.20 to the $0.53 that you see to get $0.73.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: So you get like $0.73, so versus $0.53. So that means the Office Products division earned $0.20 this quarter and...
Mitchell R. Butier: Yes.
Stephen C. Chick - FBR Capital Markets & Co., Research Division: So at $0.20 is 1 million shares out, tax effect at, I don't know, like 3%. So that means the business is at a run rate of like $29 million in EBIT, something like that?
Mitchell R. Butier: You have to recall that this business has had a lot of seasonality to it. And Q2 and Q3 are the peak for back-to-school. And we talked last quarter that some of the back-to-school timing had shifted into Q3. So Q3 was relatively strong relative to the rest of the quarters.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Well, those are higher than any of the numbers I remember from, like, 2011 when you still reported the business. So like it seems to be doing well.
Dean A. Scarborough: I think the third quarter, again, because seasonality back-to-school moved more in the third quarter than it did in the fourth quarter -- or sorry, than last year, so I mean they did have a good third quarter.
Mitchell R. Butier: Yes. Back before we reported separately, Q2 and Q3 were always the highest EBIT quarters.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Right. But like last year, it was -- it ran at $22 million in the second quarter and the third quarter was $21 million. So these numbers -- I mean, these are still much higher than what it was in '11.
Dean A. Scarborough: Well, if you're trying to compare to the old information when it was in continuing operations, you must recall that the corporate allocations that get pushed back in the segments are no longer happening for a discontinued operation. So these results are not apples-to-apples with the numbers you're talking about for Q3 of last year.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: I see. So what are the stranded costs?
Mitchell R. Butier: Silke, just we restated and gave multiple quarter information, I think it was back in January, and we'd be happy to go over that with you as well and help identify where these variances are.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Right. It's like a ballpark number of like stranded costs on an annualized basis that you would allocate to the business?
Mitchell R. Butier: The stranded costs are changing dramatically given all the cost reduction and so forth that we're going through between the cost reduction we've announced this last July and the July before that. So there's a lot of moving parts in talking about the stranded costs. I think would not get to the end you're trying to achieve. So I'd be happy to go over it with you later. We've eliminated all the stranded costs related to Office and Consumer Products. After doing that, we're also structurally reducing the amount of corporate overhead as well. So if you think about it just in those terms, those stranded costs are gone, but that still won't give you the comparison I think you're looking for.
Operator: Our next question from the line of Rosemarie Morbelli with Gabelli & Company.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Considering the change in leadership and what I believe is going, or at least what I read, is going to be a boost to help consumers as opposed to growing towards infrastructure, how much help could you get if something actually does happen in that particular category? And what is your overall exposure into China?
Dean A. Scarborough: So China, it's a good question. I don't believe that the new leadership change in China they're going to want to see the economy slow down. So I anticipate that there will be some more stimulative measures taken. The Pressure-sensitive business really is, I'd say, 80% dependent on consumer demand in China and -- which I think is a good factor, and I know the Chinese government wants to continue to shift a higher percentage of their GDP over time to being driven by consumer spending rather than infrastructure or exports. So anything that helps the Chinese consumer will help our Pressure-sensitive business on a go-forward basis. The RBIS business, though, is really driven by apparel and worldwide apparel trends and how much of that is made in China. It's still a very important factor for us. But I think the factors impacting RBIS are more about apparel costs and consumer confidence in mature markets.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And what is your overall -- the percentage of your overall business in China, if that is a relevant number?
Dean A. Scarborough: We don't disclose that. But more than 1/3 of our sales, about 35% of our continuing operations are in emerging markets and that includes the emerging markets in Asia, Latin America and Eastern Europe.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And if I may ask one last question. If my memory serves me right, which is never sure, but aren't you planning in pushing your RBIS business into other regions in Asia like Vietnam, or I don't remember, Thailand, I believe. Is there some kind of a shift going on?
Dean A. Scarborough: So we have manufacturing operations for RBIS wherever apparel was made. So for example, we have large operations in South Asia, which would include India, Bangladesh and Sri Lanka. So those are -- especially Bangladesh is a growth area for apparel production, just as Vietnam and Indonesia are growth areas for apparel production. They're taking some share from China. So we're well-positioned to capture apparel demand pretty much no matter where it's manufactured.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Okay. And there is no difference in the profitability in one of those new regions versus China, for example?
Dean A. Scarborough: Well, some are better and some aren't.
Operator: Mr. Scarborough, I will turn the call back to you now, sir, for your closing remarks.
Dean A. Scarborough: Thank you, France. So just to summarize. We are pleased with our third quarter performance. Our Pressure-sensitive Materials business is executing well with continued growth in emerging markets and innovation, driving decoration transfer and share gains all over the world, including Europe and North America. And I'm also pleased with the ongoing integration of our Graphics and Reflective businesses, as well as the research center. Those remain on track. The RBIS core business has rebounded sharply now that apparel unit costs have dropped, and there is some rising retailer confidence in the U.S. RFID continues to penetrate and we're also delivering nice returns from that business as well in both the RBIS sector and other specialty converting. And we're going to continue to drive RBIS, drive top line performance while continuing to reduce our fixed costs. That's a big part of the story. The Office and Consumer Products business, obviously disappointing news with the termination. But again, we have restarted the sale process and we're hopeful to get a resolution on that in the first quarter of next year. We're on track with free cash flow and I'm really happy and just delighted to have been -- to deliver more cash to shareholders in 2012, than certainly we have the past couple of years. And then, I really need to thank the Avery Dennison team from around the world who are continuing to work safely, working to improve quality and service and focus on customers while also driving big productivity gains from a number of the actions that we're taking all around the world. It's not easy, and I want them to know I really appreciate their results. So thank you, operator, and we look forward to talking to you in the New Year.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you all for your participation, and kindly ask that you please disconnect your lines. Have a great day, everyone.